Operator: (Operator Instructions) Welcome to the Fourth Quarter 2008 Prestige Brand Holding, Inc. Earnings Conference Call. I will now turn the call over to Dean Siegal, Director of Investor Relations.
Dean Siegal: Welcome to our Fiscal 2008 Fourth Quarter Conference Call. During this call statements may be made by management of their beliefs and expectations as to the company’s future operating results. Statements of managements expectations of what might occur with respect to future operating results are what as know as forward looking statements. All forward looking statements involve risks and uncertainties which in many cases are beyond the control of the company and may cause actual results to differ materially from managements expectations. Additional information concerning the factors that might cause actual results to differ from management’s expectations is contained in the company’s annual and quarterly reports that are filed with the US Securities and Exchange Commission. Now I’d like to introduce Mark Pettie, Chairman and CEO.
Mark Pettie: In addition to Dean, with me is Pete Anderson, Prestige’s Chief Financial Officer and also joining us today is Chuck Jolly our General Council. I will begin today’s call with a brief overview of our fourth quarter and full fiscal 2008 results. Pete will then review the financials for the quarter in more detail and I’ll come back with highlights of our segment performance and our outlook for fiscal 2009. In addition I will discuss our progress against the four strategic growth thrusts I highlighted on our last call. We’ll then open the call for questions. Let’s get started with our reported total revenues for the fourth quarter which were $80.4 million a 3% increase over last year. As you know, organic sales growth in the quarter is the same as total growth as we have now lapped the Wartner acquisition which closed in late September 2006. Reported net income for the quarter of $10.4 million was $2 million or 24% greater than last year’s reported net income of $8.4 million. The increase in net income compared to prior year was driven by improved gross margin resulting from sales increase and reduced cost of goods sold combined with favorable G&A and interest expense. Finally, we generated $9.6 million of free cash in the quarter. Our continued strong cash generation helped us to pay down an additional $15 million on our term loan reducing total debt to $411.2 million at March 31. Now let’s take a brief look at annual results for the 2008 fiscal year. Total revenue for the year was $326.6 million, $8 million or 3% greater than fiscal year 2007. Organic sales which remove the April to September benefits of the Wartner acquisition were up $2.6 million or 1%. Net income of $33.9 million with $2.2 million or 7% below fiscal year 2007 reported net income of $36.1 million. As you may recall fiscal year 2007 net income benefited from favorable non cash income tax adjustments in the third and fourth quarters amounting to $2.2 million. After adjusting for this benefit fiscal 2008 net income was equivalent to fiscal 2007 net income. Finally, free cash flow for the year was $44.5 million and we paid down $52.1 million in term loan debt during fiscal 2008. That’s the brief summary for the quarter and the year and now I’d like to turn the call over to Pete who will provide additional commentary and financial detail.
Pete Anderson: As Mark mentioned net revenues for the quarter of $80.4 million were 3% ahead of prior year net revenues. Operating income of $24.8 million was $2.2 million or 10% above last year’s operating income of $22.6 million and net income of $10.4 million was $2 million or 24% better than last year’s reported net income of $8.4 million. Cost of sales for the quarter of $39.2 million was $400,000 or 1% higher than cost of sales last year. As a percent of revenue, cost of sales declined from 49.7% in fiscal year 2007 to 48.8% in fiscal year 2008. This cost of sales decline was primarily due to a reduction in obsolescence expenses in fiscal year 2008 as last year included charges related to cough/cold products which were facing expiration dating. Advertising and promotion expense of $6.3 million was $100,000 greater than spending of $6.2 million last year. G&A expense of $7.4 million was $300,000 lower than the prior year’s expense of $7.7 million. Lower professional service expenses primarily related to reduced expenses for Sarbanes-Oxley compliance testing were partially offset by increased legal expenses. As we saw in our fiscal third quarter our legal expenses continue to run ahead of last year’s levels but the absolute amount of spending was lower than the previous quarter reflecting the successful resolution of the OraSure litigation in December. However, as we mentioned on our last call the litigation to defend our Doctor’s Night Guard patents and trademarks is ongoing. As a result we anticipate legal expenses to continue to exceed what we would consider to be a normal run rate until this case is concluded. Interest expenses of $8.6 million during the quarter were $1.2 million or 12% lower than the prior year as a result of the reduction in debt achieved throughout the year. Finally, you may recall that last year we instituted a program to look for opportunities to make the company’s corporate operating structure more tax efficient. As a result of those continuing efforts the company’s ongoing book income tax rate has been reduced from 38% to 37.9%. Now I will briefly review fourth quarter results by segment. Net revenues for the OTC segment of $46.2 million were $2.9 million or 7% better than last year. Gross profit for the segment was $28.9 million, 12% greater than prior year. Gross profit as a percent of revenues was 62.6% a substantial improvement over the prior year’s gross profit of 59.8%. The improvement over last year was due in part to last years large out lessons accrual for expiring and discontinued cough/cold products. Contribution margin of $23.8 million for the segment was $2.6 million or 12% greater than the year ago quarter. A&P spending for the segment in the current year was $500,000 greater than last year’s spending. Household Products net revenues of $29.7 million were $700,000 or 2% greater than last year. Gross profit of $10.6 million was $300,000 or 3% below the prior year as the sales increase was offset by increased cost of sales due to unfavorable sales mix. The Household segment contribution margin for the quarter of $9.6 million was $100,000 greater than last year as the gross margin decline was offset by a decrease in advertising and promotion spending. Net revenues of $4.5 million for the Personal Care segment were $1.3 million less than prior year. Gross profit of $1.7 million was $800,000 less than prior year primarily due to the sales decline. Contribution margin of $1.6 million was $700,000 less than last year due to the gross profit decrease. Our free cash flow for the quarter which we define as operating cash flow less capital expenditures was $9.6 million. That represents a 42% decline from last year’s free cash flow of $16.5 million. The major driver of this decline in free cash flow was accounts receivable which increased from $35.2 million on March 31, 2007, to $44.2 million on March 31, 2008. The increase is attributed to the sales increase as well as the timing of certain price increases in the quarter ended March 31, 2008. In response to cost increases for raw materials, packaging, and transportation expenses the company instituted price increases on several brands which were effective March 15th. Consequently there were a number of invoices which came due during the first two weeks of April as the letters placed just prior to the price increase within 30 days later. As expected cash payments were very strong in the beginning of April as those invoices became due. Consequently our day sales outstanding which were 48 at the end of March improved substantially to 39 days at the end of April. As Mark mentioned our continued strong cash flow in the fourth quarter helped us to pay down an additional $15 million on our term loan during the quarter. For the full year we repaid $52.1 million of debt reducing total debt to $411.2 million at the end of the year. Now I will turn the call back to Mark who will provide additional Q4 perspective and discuss our progress against four key strategic thrusts and our outlook for fiscal 2009.
Mark Pettie: Before we get underway with my Q4 remarks I’ll again quickly remind you that when I speak of consumption I’m talking about consumption across all channels which include traditional food, drug and mass as measures by IRI plus actual sales results in non-measured channels. These non-measured channels which include dollar stores, clubs and major mass merchandiser can account for more than half of total movement for some of our brands. Focusing exclusively on our IRI data can at times be a misleading indicator of our brands overall performance. Moving to the OTC segment while several of our key brands exhibited strong growth during the quarter our Murine ear care business again led the way with sales up 100% on the continued success of our Murine earigate product and its halo effect on the entire Murine ear line. Importantly consumer take away also remained quite strong during this period as Murine Ear consumption was up over 140%. This performance allowed Murine to extend its share leadership position in the ear care category having grown nearly eight share points in fiscal 2008. Our largest OTC brand Clear eyes also enjoyed strong growth in Q4. This is attributable to a combination of continued consumption growth and the benefit of incremental distribution from the launch of our new one ounce skus. Quarter performance was also helped by the re-launch of our Clear eyes Allergy sku. Time to coincide with the start of allergy season this re-launch included changing the product name from the somewhat obtuse Clear eyes ACR to the much more consumer friendly Clear eyes for Itchy Eyes. Advertising support for this launch began in April and the response to this campaign has been very encouraging. I’m also pleased to report than Chloraseptic enjoyed strong sales growth in the fourth quarter due to demand caused by the late breaking upturn in the cold/flu season which kicked in primarily during the month of February and March. During the quarter Chloraseptic also continued to increase its category leading share position growing 2.5 share points to 35.7% of the sore throat treatment category. However, while we are pleased with the strength in finish for the year the improved sales performance in Q4 was not enough to offset the unfavorable shipment trends experienced earlier in the year. Compound W and the salicylic acid segment of the business in particular turned in solid performance during the quarter. Consumption has been improving in this segment throughout the year behind effective new advertising copy and Compound W grew share 1.6 points for the year and over 3 points in Q4. Behind this performance our total wart care franchise comprised of Compound W and Wartner also grew its aggregate category share leadership position in the fourth quarter. It is important to point out that as we enter the first quarter of fiscal 2009 the dynamics of the Cryogenic segment of the Wart Care business are changing. In response to a similar action taken by Dr. Scholl’s Freeze Away product we have reduced list pricing on both Compound W Freeze Off and Wartner closing the price gap between the Cryogenic and salicylic acid forms of wart care products and improving the consumer value proposition of the Cryogenic segments. Both Dr. Scholl’s Freeze Away and Compound W Freeze Off have concurrently reduced the number of applications per package. We believe this will stimulate unit consumption within the Cryogenic segment which has been steadily declining for the past three years. Lastly within OTC our Doctor’s business continues to be negatively impacted by significant competition in the Bruxism segment. As you know from earlier calls to a substantial degree this competition involves infringement of our patent, trademarks, copyrights, and trade dress and we continue to vigorously defend our rights in these areas. Moving on to our Household business our 2% revenue improvement was driven by our largest brand Comet. During the quarter Comet benefited on two fronts; first dollar store powder sales trends continue to improve as a result of one of the major dollar retailers introducing a larger size Comet offering earlier in the year. Second, Comet Mildew Spray Gel made a meaningful contribution as pipeline orders to support increased store distribution at a major mass merchandising customer were shipped during the quarter. Spic and Span factory sales declined in line with year to date trends while Chore Boy was down due in part to lapping a year ago promotion that was not repeated. Finally, in Personal Care aggregate results were below year ago and in line with expectations reflecting our ongoing de-emphasis of this segment. Switching to our International business total revenues were up 3%. This reflects continued strong growth in our Canadian franchise offset by a 22% decline across our other international markets. You may remember that I previously highlighted steps we took to getting in Q2 of fiscal ’08 to eradicate diversion behavior in certain of our international markets. At the same time I informed you that the impact of this necessary action would play out and reduce sales in these markets for the balance of fiscal ’08 and through Q1 of fiscal ’09. This is reflected in our aggregate Q4 results and offsets the strong performance of not only Canada but also our Murine Eye and Chloraseptic businesses in our UK market. As I mentioned on last quarters call earlier this year we expanded the Murine Eye line from one to four skus in the UK and simultaneously introduced very impactful new package graphics. As a result this business was up over 100% in Q4 and is up over 70% for the full fiscal year. In addition, the Chloraseptic business in the UK experienced increases of over 50% in the quarter due to a truly strong cold/flu season in that market. Our Canadian business continued to show very nice gains with revenues increasing 25% over the previous years fourth quarter. The over the counter portfolio showed especially strong growth and the Comet brand led growth in the Household segments. As we increase our focus on this important piece of our International business in fiscal ’09 we look forward to strong top line performance. We are pleased with the improvement of the fiscal year from both a sales and earnings standpoint but more importantly we enter fiscal 2009 with a sense of growing momentum. While fiscal 2008 certainly presented us with our share of unforeseen challenges we made significant progress in identifying the fundamental building blocks necessary to achieve our overall goal of sustainable organic growth. Many of these building blocks such as our inaugural systematic cost reduction program, supply chain simplification efforts, strength in domestic distribution and focus product innovations made meaningful contributions to our performance in fiscal 2008 that accelerated as the year progressed. As I reported on our Q3 call the results of our intensive strategic review helped us further define our pathway to short and longer term organic growth through the articulation of four key thrusts that underpin the new ways we are focusing and leading Prestige Brands in fiscal 2009 and beyond. Each of these thrusts represents real change in our operating approach and are the pillars supporting our future value creation. I’d like to now spend a few minutes updating you on these areas. You’ll recall the first of these thrusts is a more disciplined and brand specific approach to resource allocation calling for dedication of a meaningfully greater share of our resources to our focus brands. That’s roughly two thirds of our revenue base which we believe has the highest growth prospects going forward. This much more granular and decisive way of managing our portfolio is truly at the heart of our roadmap and dictates many aspects of our other three thrusts. We have built and are implementing fiscal 2009 plans centered on driving these focus brands in market while continuing to expand our knowledge of their respective consumers to ensure longer term growth as well. More and better marking support for these focus brands will be a key to success and early results are encouraging. By way of example, beginning in April we added radio to the marketing mix of a large focus brand and are concurrently testing a new media buying approach with this franchise. While it’s only one period, in the month of April consumption for this brand was up nearly 15% versus year ago which we attribute to the combination of salient benefit messaging that is delivered to our consumers in a new and more efficient fashion. By applying this sort of stepped up marking customization behind validated ideas we are confident our domestic focus brands can deliver the above average growth we expect of them. As I mentioned on our last call this marketing customization doesn’t pertain exclusively to advertising and consumer spending. Our newly added expertise in trade marketing will result in more differentiation in the retail merchandising vehicles we use across our focus brands and improve the success rate of the second year of our more from the core incremental distribution initiative. In fact, recent OTC and Household distribution wins at several food channel customers can be attributed in large part to our improved fact based selling capabilities. We are also very pleased with the progress against our second key thrust, an increased emphasis on breakthrough innovation. As a reminder we define breakthrough innovation as clearly differentiated new products or product improvements that add meaningful scale to our focus brand enabling us to separate ourselves from categories and competitors. As we enter fiscal 2009 our breakthrough innovation headliners from last year Murine earigate and Comet Mildew Spray Gel continue to perform well. We are committed to aggressively supporting them in our second year to help ensure they realize their full revenue potential. On the heals of those successful launches we believe we have an equally high potential Act II. Allergies affect an estimated 40 million Americans and currently represent a $700 plus million OTC healthcare category which has been growing at an average of 6% per year for the past two calendar years and over 17% in the latest 52 weeks. It is also a category where the major consumer offerings all contain drugs meaning relief from symptoms often comes with unwanted side effects such as drowsiness. Beginning next quarter Prestige will be offering allergy suffers a new drug free option to relieve their symptoms with the introduction of Chloraseptic Allergen Block for adults and Little Allergies allergen block for kids which will be marketed under our Little Remedies Pediatric trademark. Both products employ the patented innovative nasal guard technology, which block allergens by trapping them outside the nasal passages. The greaseless, odorless and colorless allergen block gel is applied topically around the nostril three to four times a day and provides a barrier to most indoor and outdoor airborne allergens. This technology has two clear advantages versus current allergy relief products. First, since the majority of all allergens enter the body through the nasal passages it works to help prevent allergy symptoms rather than relieve them after they’ve already occurred. Second, its drug free making it ideal not only for adults but for parents concerned with providing non-medicated allergy relief solutions to their children. While designed to be used as stand alone allergy prevention products the drug free nature of Chloraseptic Allergen Block and Little Allergies Allergen Block also allow them to be used in combination with traditional allergy medication if desired. Retailer response to this mixed round of breakthrough innovation has been overwhelmingly positive. We have acceptances at all major drug chains and wholesalers along with several major food accounts. Presentations have also been well received and authorizations are pending with our major mass merchandising customers. We believe the unique technology and broad range of applications for this product also make it ideal for non-traditional distribution channels such as pet stores and garden centers and we are actively pursuing these options. Clearly we are excited by the prospects of this next generation of breakthrough innovation which takes two of our significant OTC brands into a new and growing category with truly differentiating consumer relevant technology. Both allergen products have the potential to mirror the success of last years Murine earigate and Comet Spray Gel introductions and meaningfully contribute to our fiscal ’09 organic revenue growth picture. Before we leave the subject of innovation I want to assure you that although they are the biggest, the allergen block products are certainly not the only new offerings we are providing to our customers and consumers in this fiscal year. I’ve already spoken about the new Clear Eyes one ounce item and the conversion of our ACI eye care product to the much more consumer friendly Clear Eyes for Itchy Eyes name. While both these initiatives began in Q4 of fiscal ’08 the bulk of the growth they will bring will be enjoyed in fiscal ’09. Returning to our Chloraseptic business, in addition to Allergen Block we will also be leveraging the success of last season’s liquid center lozenge introductions by applying that technology to a new maximum strength lozenge. This new product is specifically formulated to provide quick and lasting relief to the most sever soar throat pain. We will also be launching the maximum strength formulation in a directable spray form. These two new Chloraseptic soar throat items have also played to positive retailer reception and will begin shipping next quarter. Back on Little Remedies we will be introducing a second saline product in Q2 which will capitalize on the growing popularity of this form of non-medicated relief of pediatric cold symptoms. Our current Little Remedies saline product which is delivered in a plastic squeezable bottle is the number one sku in our Little Remedies line. Our new product utilizes an aerosol delivery system and has the added benefit of being preservative free. We know the two deliver options appeal to different consumer and we expect them to co exist happily in many accounts. Finally we will be introducing a manicure pen to our Cutex line as we continue to seek value added ways to differentiate ourselves from private label competition in the nail polish remover category. We are also returning to the iconic clear Cutex bottles for our liquid business which is the largest part of the Cutex line. Both the new manicure pen and the classic bottle will be on shelf in time for the important summer nail polish season. As I’m sure you can tell by now the key message of this portion of my remarks is that we will be sharing a healthy breast of innovation both breakthrough and basic with our customers and consumers this fiscal year. Our third key thrust is the continued efforts behind International growth with a sharp increase in focus on our Canadian business. You may remember my comments on the Q3 call that we believe our Canadian business under developed by up to 50% in part due to the lack of specific attention with which we historically manage this market. We intend to begin closing this gap in fiscal 2009 in three ways. First we will have the full year benefit of our consolidation to a single Canadian broker partner that we initiated in Q2 of last year. Second, we are preparing to launch up to 10 new items into that market over the course of fiscal ’09. Third, we are planning to develop dedicated advertising to support key OTC brands in Canada such as Compound W, Clear Eyes and Chloraseptic. We are confident the combination of these factors will allow us to drive further Canadian growth and begin closing the identified market development gap. We are also working to step up growth in our other international markets. The UK is a case in point where we plan to follow up last years introduction of three new Murine eye care skus and our listing in the number one UK pharmacy chain with our inaugural Murine television advertising campaign. From a longer term standpoint we made considerable progress in fiscal ’08 in new items DOCEA preparation and are now in the process of filing these DOCEAs with regulatory agencies in several of our existing and potential international markets. Given the vagaries of the international regulatory approval process these filings may not pay off for us in fiscal ’09 revenue but the stage is being effectively set for their contribution to our growth in the not too distant future. Our fourth key thrust is to build our internal and external organization effectiveness. Said another way, this is essentially about getting our organization fully aligned or wired to maximize the returns on our other key thrusts and therefore achieve our sustainable organic growth objective. In this regard our progress to date is also satisfying. From an internal standpoint we have substantially reorganized our marketing function to fully align with the priorities dictated by our portfolio management model. At the top of the house we have consolidated all OTC and Personal Care marketing responsibilities under Jim Kelly. These were previously shared by Jim and Charlie Schrank our other senior marketing executive. Charlie now exclusively heads up our important Household Products business as well as providing leadership to marketing services. Jim Kelly has in turn aligned his marketing team against our portfolio priorities. Importantly he has carved our specific resources to focus on two of our most important growth areas; breakthrough innovation and Canada. This dedicated approach is necessary to ensure these two initiatives along with performance of our domestic focus brands contribute to the near attainment and ultimate acceleration of our organic growth profile. Going hand in hand with the improved aligned human resources is the need to provide our people with continuously upgraded analytical tools to drive efficiency and decision making capabilities. A recently installed financial reporting package has allowed for more real time access to key performance indicators at the brand level and we’re on the cusp of implementation of an integrated sales forecasting and demand planning system. The benefits of this system which will take several months to fully bring up to speed include improved sales forecast in merchandising program communications and better inventory management. From an external standpoint our major initiative is the movement of the majority of our revenue from a brokered sales force to our own direct selling organization. You may recall that we have less than 40% of our revenues under the direct selling model today and we project this number to be approaching 70% when our transition is complete. We expect the resultant more intimate relationships with our key customers to translate to improved growth prospects via enhanced idea exchanges, broadened new distribution opportunities and greater return on trade marketing spend among other benefits. While we have not converted any business to date we have identified a number of talented direct sales candidates and expect to begin our transition in the second quarter. That’s a progress report on the four strategic thrusts underpinning our organic growth roadmap as we head into fiscal ’09. Although we are clearly in the early stages of their implementation I know I speak for the entire Prestige team when I say we are fully committed to their successful execution and the realization of the growth they will provide. Now let me wrap up by speaking briefly about how this all translates into our anticipated fiscal 2009 performance. I’ll begin by reaffirming the 2% to 4% revenue growth range indicated on our last call. We expect this growth to begin in earnest in Q2 as Q1 comps are impacted by among other things the presence of international diversion and Little Remedies cough/cold sales in the Q1 fiscal ’08 base along with the modest forward volume pact of our Q4 pricing actions. Our annual key support is also planned to grow behind the new item launches a full year of spending from earigation spray gel and continued investment in expanding our consumer knowledge base. However, with the stabilization of our G&A spending and continued de-levering beginning with the second quarter we expect full year net income and EPS to grow at a rate meaningfully higher than our projected rate of sales growth. With respect to M&A activity we enter fiscal ’09 with the same stance as last year. We did not build any acquisitions into our annual plan and while we were always attentive to strategically appropriate opportunities our bias entering this year continues to be a focus on fully implementing our key organic growth thrusts. However, we do continue to see a regular flow of acquisition opportunities and remain capable of acting rapidly on those that make sense. Similarly we have not projected any divestitures in our fiscal ’09 plans but remain interested in selling our Personal Care and certain small OTC brands for the right value. In closing, I am enthusiastic about our prospects for fiscal ’09 and after the challenging year we just completed. We have done the hard work and made the tough decisions required to chart a course of growth and though it’s early our progress against our roadmap is encouraging. We have the brands, the innovation and the organizational focus and energy to achieve our goal and I look forward to speaking with you about them in the months ahead. Thank you and I will now open the call to questions.
Operator: (Operator Instructions) Your first question comes from Bill Chappell – Suntrust Robinson Humphrey.
Bill Chappell – Suntrust Robinson Humphrey: I’ll dig into my favorite question of your guidance. I understand on the top line 2% to 4% growth that makes sense but on the bottom line you should be able to do 8% to 10% EPS growth just with de-leveraging. Can you give us an idea, can operating income grow faster than EPS this year or are we still kind of rebuilding that?
Mark Pettie: I think we’re still primarily in investment mode when you talk to that level of P&L. We do expect certainly expect growth in the operating income line this year.
Bill Chappell – Suntrust Robinson Humphrey: In terms of looking at the Personal Care side of the business is it a sense that we’ve hit some stabilization it seems just to continue to be a drag on top line growth. What are your expectations there to still get the 2% to 4% growth?
Mark Pettie: You may recall from the Q3 call that entire set of businesses including Personal Care and the small OTC brands that we remain interested in divesting for the right value represents in aggregate about a 1% drag on our top line expectation. I would say that within Personal Care we’re seeing a mixed bag. A couple of the brands do seem to be finding their new equilibrium Prell in particular seems to be stabilizing. Although it’s very early the move we’ve made on Cutex back to the classic iconic clear bottle in the course of April seems to have done some good things for our POS. There is perhaps the opportunity as we head into this year for the rate of descent on that business to start to moderate as well.
Bill Chappell – Suntrust Robinson Humphrey: Is a 1% drag still a good metric to use for this year?
Mark Pettie: I think in aggregate it’s still the right number to use. Its early days on the stuff I just mentioned.
Bill Chappell – Suntrust Robinson Humphrey: Since you’ve reclassified the business is there any way to look at it how fast your two thirds of the business which you’re investing in is growing versus the one third where you’re not.
Mark Pettie: I would just offer that for certain we expect the two thirds to grow at a rate faster than the 2% to 4% in the aggregate.
Bill Chappell – Suntrust Robinson Humphrey: The new Chloraseptic and Little Remedies products and I walking around with goop under my nose three or four times during the day or does this actually blend in?
Mark Pettie: As I mentioned in the remarks its clear, odorless, invisible, its colorless so while you do apply it topically right underneath your nostrils if you and I were looking at each other from two feet away I wouldn’t recognize it.
Operator: Your next question comes from Joe Altobello – Oppenheimer.
Joe Altobello – Oppenheimer: I just wanted to go back to the price increases. First, could you lay out what price increases you took in the quarter and then secondly how much of a pre-buying occurred during the quarter?
Pete Anderson: We took pricing on about just a little under 40% of the volume of US and so it was kind of across the board range from Clear Eyes to Comet powder to Chloraseptic lozenges. Again very much in line with how we’ve previously taken price increases. We look at the competition; we look at our cost profile, etc. It was about 40% of US volume and we believe that the forward buying was in the range of maybe 1%, it was not huge.
Joe Altobello – Oppenheimer: Of the 40% of the volumes that you took pricing on, what the average price increase?
Pete Anderson: About 6%.
Joe Altobello – Oppenheimer: Secondly, if you go back to February you guys were still looking towards 1% to 3% organic growth this year and as you said you did come at the low end of that range maybe slightly below that. What was going on in the third maybe fourth quarter that caused you to be at the low end of that range was it the recall or was it the cough/cold season.
Mark Pettie: We identified the 1% to 3% we already instituted the withdrawal on the Little Remedies that was factored into that number. Obviously the cough/cold season while it came back at the end took some time to come back and so through December and even into January we were underwater on that. That certainly pushed down our performance. Those were the two major factors one of which we had a caveat for in the 1% to 3% one of which has continued at substandard levels during an important part of the year for the Chloraseptic business.
Joe Altobello – Oppenheimer: Lastly, for modeling purposes how much were your legal expense in fiscal ’08 and what are you baking in for ’09?
Pete Anderson: It was a good try but we don’t give any exact numbers there.
Joe Altobello – Oppenheimer: It will be up directionally though?
Pete Anderson: No, legal expenses will definitely be a lot less unless something we do not foresee now happens.
Mark Pettie: What Pete said in his remarks is they’ll be above our historical run rates but below the dramatic spike we took in fiscal ’08.
Operator: Your next question comes from Neely Tamminga – Piper Jaffray.
Neely Tamminga – Piper Jaffray: I was hoping if you guys could give a little of explanation when in the market you’ve got Zyrtec which just launched as a strong launch in OTC allergy relief historically do you think that when Claritin did this was this a good move for the category because it raises awareness in general, it keeps people in that aisle or is this a take share potential issues. I’m just wondering if you could help frame that up a little bit for me.
Mark Pettie: In terms of the allergy category in general or in terms of our proposed investment.
Neely Tamminga – Piper Jaffray: Your offering within the allergy category specifically.
Mark Pettie: I think that our offering because of its unique nature the fact that its drug free and more preventative than curative is going to build the category more than trying to steal share. It’s a totally different method of addressing allergies I think folks that have been previously reluctant to get into the category because they didn’t like the medicated effects of the current offering are going to be much more attracted to the category now that there’s an alternative out there. I also think that the pediatric market is going to respond favorably particularly given the drug free nature of this. As we look at this we look at this as an opportunity to attract more consumers to the category and further build out growth the category is already experiencing.
Operator: Your next question comes from Chris Ferrara – Merrill Lynch.
Chris Ferrara – Merrill Lynch: The pre-buy I think Pete said was 1% is that 1% of total company sales for the quarter?
Pete Anderson: Yes, correct.
Chris Ferrara – Merrill Lynch: In other words you’d expect that would be the drag you’d expect to Q1 sales as well?
Pete Anderson: Yes.
Chris Ferrara – Merrill Lynch: I wanted to ask about the down counter pricing coming down in a cryogenic remover business. I guess that won’t really show up until wart season hits is that right and how big of deal, could you give us, size that for us as far as what kind of percentage and what kind of dollar impact you think that can have on your business?
Mark Pettie: We took the price reduction effective with shipments starting at April 1 so in terms of its impact on our revenue it will show up this quarter. In fact, the prices are already starting to be reflected in market in certain accounts. It’s a fairly sizeable decrease but recall we also took a downsize in the number of applications at the same time. The decreases on our Compound W cryogenic products and our Wartner products were in the 35% plus range. The expectation is that will stimulate unit growth in the cryogenic category so some of the revenue decline will be recovered by increased unit sales as we move forward.
Pete Anderson: For those of you out there who are updating your models we looked at a combination of the price increases that we took in the month of March and netted that against he price decreases on the cryogenic business and it amount to approximately one half of 1% of a net price increase or benefit that we’ll get throughout FY09.
Chris Ferrara – Merrill Lynch: You said you took across 40% of the US volume roughly 6% price increase is that right? So that would have been a little less than three points for the business and it gets knocked over down to plus a half because of the cryogenic changes, am I thinking about that right?
Pete Anderson: Yes. A sizeable change in the cryogenic segment led by Dr. Scholl’s.
Chris Ferrara – Merrill Lynch: On the Chloraseptic, on your innovation in the allergy side did you guys do a lot of research on the portability of the Chloraseptic brand to allergy, and the relevance between sore throat and allergy? I’m wondering how you guys thought about that and whether you guys did consumer testing as far as receptivity of that to the Chloraseptic brand.
Mark Pettie: Very good question and you’re absolutely right. One of the things we did last year and you may recall me remarking on this in one or more of the calls particularly in ’08 is really to get a better understanding of the extendibility of our brand. We had some empirical evidence of brand extendibility with Comet in ’08 stretching itself very successfully into the mildew category which they’d never been. We wanted to consumer test the extendibility of certain of our other leading brands and Chloraseptic was right at the top of the list. We did extensive research, Chloraseptic in terms of how far the consumer would give us permission to move that beyond sore throats and we’re very encouraged by what we heard. In addition to allergy which came back very strongly there are other areas that are adjacent to but not directly on top of sore throat that represent fertile ground for Chloraseptic going forward. Yes, we got a lot of consumer confirmation that allergy was a very acceptable place for Chloraseptic to stretch to.
Operator: Your next question comes from Jon Andersen – William Blair.
Jon Andersen – William Blair: I was wondering if you could provide some commentary on retail inventory levels, what you’re seeing there, what your level of comfort is at present. An update with respect to your debt covenants and whether you can go out in the market now and repurchase shares and if not when you see that on the horizon.
Mark Pettie: With respect to trade inventories we are very comfortable with where they are on virtually all our brands. If there is one area of softness or low if you will that we see coming into this year its in Murine earigate where they trade took a very strong position against some merchandising programs in Q4 and frankly probably overbought a little bit. We have turned the television back on effective with the start of April and we’re seeing the lift and response to that advertising to be as impressive as they were when we first turned it on last fall. We’re confident that we’ll move through that inventory overhang quickly at retail but it does represent one area of watch out for us as we head into this fiscal year. Otherwise we feel like we’re in good shape from a retail inventory standpoint in virtually all of our other goods.
Pete Anderson: On the covenant issue the debt to EBITDA ratio limits our ability to potentially buy back shares or do a dividend and we’ve got to get down to 3.5% to be able to do anything. We are at the end of the year about 3.97% so we’re moving towards the 3.5% and I would expect that it would be not until the end of the FY09 fiscal year that we would get it down to about 3.5% or below.
Operator: Your next question comes from Chris Ferrara – Merrill Lynch.
Chris Ferrara – Merrill Lynch: Following up on the pricing, would you say that the dollar amount of your price increases that you’re doing excluding the cryogenic reduction in price is that a fair reflection of the type of raw materials inflation you’re seeing in your cost of goods sold line?
Pete Anderson: Yes, definitely.
Chris Ferrara – Merrill Lynch: Is it a fair characterization that you’re offsetting 100% of your raw materials price increases?
Pete Anderson: In those products that we took price increases on yes. As we’ve consistently said over the years there are some categories and some brands where because of our competitive position in the marketplace we’ve had cost increases like everybody else but we’ve not been able to take pricing actions because the leaders in the segment have not raised their prices. For the products that we have taken the price increases on yes but there are some products out there where costs have gone up and just because of competitive pressures we’ve not been able to take a price increase.
Operator: Your next question comes from Reza Vahabzadeh – Lehman Brothers.
Reza Vahabzadeh – Lehman Brothers: As far as the POS data that you provided which was very helpful what I wasn’t sure is on a consolidated basis if you were to gauge your own consumer take away at retail where would you put the number for the quarter?
Mark Pettie: For aggregate POS?
Reza Vahabzadeh – Lehman Brothers: Yes, just your best guess of your aggregate POS for the quarter.
Mark Pettie: It differs by brand. On the focus brands I spoke about it was up 2% to 3% and on some of the brands that are down on the divest list obviously a drag on us and those were down in the high single digit area. It’s a mix of pluses and minuses across the portfolio but importantly where we are electing to focus our energy and resources the consumption measures are positive.
Reza Vahabzadeh – Lehman Brothers: If I were to get through a weighted average of all that would you be neutral, slightly higher, and slightly lower for the quarter?
Mark Pettie: I think when you roll all of our business together it would be up. Business and channels, you’ll recall my opening remarks about unmeasured channels as well and we do a considerable amount of our business in the unmeasured channels. On average if you take a look at the business we call it out.
Reza Vahabzadeh – Lehman Brothers: You mentioned that the advance buying ahead of the price increase was just 1% of aggregate sales so just under $1 million. That seems kind of low for the kind of price increase you took 6% on almost half of your business. What’s your level of visibility on that advance buying?
Pete Anderson: One thing that we’re happy about and one thing that gives us pretty good confidence that indeed it was that 1% is that we very deliberately took the price increases not at the end of March but in the middle of March. The reason we did that was because the last thing we wanted to do was to have a flurry of sales that took place right before the end of the fourth quarter and then wind up having no business in the month of April. When we talk about 1% what we’ve done is taken from our sales group and from subsequent sales that we’ve seen through April and basically looked at the amount of the extra inventory the retailers took in. The large amount of what was purchased before the price increase was sold through in the last two weeks of the month of March. The worst thing in the world is to sit here and do a price increase right at the end of a quarter or month, pat yourself on the back and then find out that you’ve got absolutely no business after that. We very deliberately wanted to do that pricing action so that it wouldn’t crazily skew our results.
Reza Vahabzadeh – Lehman Brothers: You talked about the price increase on the business. What kind of cost increase or cost inflation are you anticipating in the year ahead?
Pete Anderson: Like everybody else we’re sitting here with baited breath waiting to see what a barrel of oil is going to do because for us that really is the biggest driver. Obviously effects both transportation costs as well as probably the biggest single other item that we had which is resin which goes into plastic bottles. It’s anybody’s guess what oil is going to do.
Reza Vahabzadeh – Lehman Brothers: On a per unit basis for your products are we expecting 3% to 4% cost inflation, 2% to 3%, something higher, lower? I’m trying to see how much of the price increase is going to flow to the bottom line if any.
Pete Anderson: Where we expected going into the year about a 3% to 4% increase.
Mark Pettie: One of the things that we were quite pleased with last year was the impact our inaugural cost reduction program had on our overall COS profile and it was quite helpful in offsetting inflationary impacts that accelerated as we went through the year. We are counting on that program to continue to deliver benefits to us this year. A 3% or 4% increase that Pete was alluding to we don’t expect to be able to mitigate all of that obviously but we do expect to be able to claw back some of that as we move through the year, build out year two of our specific cost reduction program.
Reza Vahabzadeh – Lehman Brothers: On free cash flow the use of free cash flow for fiscal ’09 will it be for debt repayment, acquisitions, any color on that?
Mark Pettie: Just the same perspective that we have been providing all along which is absent any acquisitions and you heard my remarks about a strong bias against those as we head into the fiscal year and continue to focus on driving organic growth. Absent any acquisitions it goes right to paying down our debt.
Reza Vahabzadeh – Lehman Brothers: On SG&A you’re really selling advertising and promotional spending. The number has moved around in recent quarters and it also moves around as a percentage of sales. Is there any color on that for the year ahead, do we expect that to be more level, do we expect that to be somewhat higher as a percentage of sales as you support your brands more?
Mark Pettie: If you’re talking about the advertising and promotion component of that we would expect that to be higher as we get into full year support behind the new products we introduced last year in particular earigate spray gel and also put the appropriate level of marketing support behind the innovation I spoke about that’s coming forward in ’09. As far as our G&A component which we isolate from advertising and promotion and was influenced in large part by legal expenses last year as a percent of sales we do expect that to decline in the coming year.
Reza Vahabzadeh – Lehman Brothers: The A&P spending increase would be what kind of magnitude.
Mark Pettie: We don’t give out specific numbers but we’re committed to supporting our new item introductions very, very strongly.
Operator: There are no more questions at this time I’ll turn the call back over to Mark for closing remarks.
Mark Pettie: I want to thank you all for listening and your questions throughout the last fiscal year and look forward to talking with you in the months ahead about our progress against the four strategic thrusts and our performance results. Thank you, have a great day.
Operator: Thank you for your participation in today’s conference. This concludes our presentation and you may now disconnect. Have a wonderful day.